Santiago Donato: Good morning, everyone. I'm Santiago Donato, Investor Relations Officer of IRSA, and I welcome you to the First Quarter 2026 Results Conference Call. First of all, I would like to remind you that both audio and a slideshow may be accessed through company's Investor Relations website at www.irsa.com.ar by clicking on the banner webcast link. The following presentation and the earnings release are also available for download on the company website. After management remarks there will be a question-and-answer session for analyst and investors. If you want to make a question, please use the chat. Before we begin, I would like to remind you that this call is being recorded, and the information discussed today may include forward-looking statements regarding the company's financial and operating performance. All projections are subject to risks and uncertainties, and actual results may differ materially. Please refer to the detailed note in the company's earnings release regarding forward-looking statements. I will now turn the call over to Mr. Matias Gaivironski, CFO.
Matias Gaivironsky: Good morning, everybody. So we are starting the fiscal year 2026 with good results. We closed the quarter with a gain of ARS 163.4 million compared with a loss last year of ARS 143.6 million. That was mainly driven by the gain of fair value of our investment properties and also the good results from the rental segment. Regarding our malls, there was a growth in revenues and occupancy that we will see later, and despite the decline in tenant sales during the first quarter, that was 7% Third, there was a busy quarter regarding acquisitions. There was an acquisition of a new mall, Al Oeste Shopping mall in Haedo. We paid $9 million for that, and we will see later the details of the transaction. Also it was a stable quarter for rents and occupancy in our office portfolio and good progress in the ongoing developments, mainly Distrito Diagonal, the shopping mall in La Plata and Ramblas del Plata that Jorge will explain later. And also, we started the distribution of a new dividend that our shareholders meeting approved in October. So we started the distribution. It's a payment of around 10% of dividend yield. So with this, I would like to introduce Santiago Donato, our IRO, to continue the presentation.
Santiago Donato: Thank you, Matias. Here, we move to the shopping mall segment. As we can see here, we increased the GLA on the year due to the acquisition of Terrazas de Mayo. And now we are going to add -- well, probably after the development that we have to do in Al Oeste, we are going to incorporate our 17th shopping mall. So we are growing and increasing the portfolio, reaching an occupancy of almost 98%. So very, very, very high levels of occupancy. Regarding the business, continues to be in a good phase. Revenues and EBITDA of the segment increased by 6% and 4%, respectively, despite this 7% decrease in the quarter -- in the first quarter of 2026 compared to the first quarter of 2025. And this is because we have most of our revenues linked to fixed structure. With the elections outcome, we are expecting more stability and continuity of this economic policy. So we expect consumer confidence to gradually improve as well as our activity in our malls. We are seeing a lot of more interest of international brands wanting to come to Argentina and to our malls. We have some of them already under construction works. So we think that the evolution of the economic activity and the consumption in Argentina should be positive and recover in the next -- in the upcoming quarters. This quarter was particularly weak in terms of sales due to the elections, the volatility and higher rates, and tighter monetary conditions due to all the electoral process. But now we have a clearer picture of the model and the conditions coming forward. Moving to next page, here we have the office segments. This is quite stable, no greater news. Stock still at the level of 58,000 square meters of GLA, mostly A+ and A. We have only one building, which is B category. And we are reconverting into the workplace by IRSA, another format and that targets start-ups and all the entrepreneur world. We are very happy with that performance of Philips building. But the rest are all A+ and A buildings, which are stable in rents in levels of $25 per square meter per month and reached again 100% occupancy. That's been in those levels top, say, for the last 4 quarters. Moving to hotels, our last rental segment, continue to show a decline in revenues and occupancy, consistent with the trend observed in the last year due to the appreciation of the FX of the peso compared to the dollar. Even though the last quarter, there was a real depreciation of the FX, it is too early to anticipate a sustained recovery in the hotels activity or business. And additionally, the hotel -- they show -- as you can see in the picture, reduced its occupancy from 67% last year to 52% due to a really weak winter period. There was no snow, and we have lower visits in our Llao Llao Hotel and in the city of Bariloche, in the Patagonia, Argentina. The average hotel portfolio is at 58% and the average rate per room at levels of $230 with slight lower margins in the segment. I will now turn the call to Jorge Cruces, our CIO, for all the real estate chapter.
Jorge Cruces: Good morning. We are pleased to announce the acquisition of our 17th shopping mall, Al Oeste Shopping. It's located in Moron District, that's west Greater Buenos Aires. It has approximately 32,000 square meters of GLA, including 46 stores, food courts, 14 cinema screens, 5 padel courts and over a 1,000 parking spaces. Purchase price is $9 million, of which $4.5 million has already been paid, while the remaining balance will be settled in 4 annual installments. Currently, the mall is operating way below its full potential. As part of our strategic development plan for the province of Buenos Aires, we intend to reposition the asset as an outlet center and relaunch it throughout next year. The first phase of the transformation will focus on the 20,000 square meters of GLA of the ground floor. We're planning to invest approximately $7 million in this stage, while the remaining area will be developed in a later phase. With this acquisition, the company's shopping mall portfolio now reaches 390,000 square meters of GLA. Southeast of Buenos Aires in the city of La Plata, we are making great progress on our upcoming 18th shopping center, Distrito Diagonal. This new development will add 22,000 square meters of GLA to our shopping portfolio, strengthening even further our presence in strategic urban locations. The mall's opening is estimated for May 2027. The growth projected in the coming years totals over 458,000 square meters of GLA, representing an expansion of our portfolio of more than 1/3 altogether. We have acquired through an auction what used to be the Israelita Hospital, an emblematic property located in the neighborhood of Flores in the city of Buenos Aires. We intend to reverse this iconic property into a mixed-use concept. The land plot has around 8,850 square meters and an existing built area of approximately 17,000 square meters. The purchase price was $6.8 million, which has been fully paid. In Uruguay, at the Distrito Calcagno, a new land-swap agreement was signed last week for $9.3 million. Casa FOA is being held in Uruguay for the first time ever. Casa FOA is an annual exhibition of architecture and interior design, and it's being held in the Distrito Calcagno. The opening event was attended by the President of Uruguay, the Mayor of Canelones, and Mr. Eduardo Elsztain. We believe this exposure could be a gamechanger for the Distrito Calcagno. Ramblas del Plata. We decided to expand the initial sales stage, so 20 lots are now being commercialized. That's around 164 sellable square meters. To date, we've sold 2 lots and swapped another 11 and the combined value of these deals stands at $81 million, covering 110 sellable square meters to be developed. Regarding construction works, the overall progress of Phase A currently stands at 15%. Construction is advancing according to schedule with the execution of road works, sewers, drainages and the recovery of the water body of central bay. We are undergoing the environmental review and expect to schedule the public hearing for the second phase by the end of this year. Now I'll give back the floor to our CFO, Mr. Matias Gaivironski. Thank you.
Matias Gaivironsky: Thank you, Jorge. So going to Page 12, we can see what happened with the evolution of the FX and inflation that has an impact in our numbers. So this quarter was higher devaluation than inflation, because of the opposite of what happened last year. That generates a positive result for our investment properties that I will explain in the next pages. About our adjusted EBITDA, we see a decline in the total number of 7.5%. The rental segment are increasing by 3.5%, 4% is in shopping malls, 16% is in the offices. This is mainly related to higher occupancy and when we convert the number -- the dollar numbers into pesos with a higher devaluation than inflation, we have better numbers in pesos terms and the decline of 22% in the hotels that Santi explained before. In terms of margins, we maintain probably similar margins than last year. In the following page, we can see the big difference in the change in the fair value of our investment properties. That is the valuation in pesos term. When we value in dollar terms, all the portfolio, the numbers are exactly the same. So this is more related to converting those dollars into pesos and adjusted by inflation that this generate this big difference. But in real or in dollar terms, that is the way that we -- all real estate in Argentina is valued, that numbers remain stable. So finally, the last 2 numbers that affect the net income line are the net financial results that here we can see a decline in the numbers. This is related to the devaluation, the real devaluation, we have to convert into pesos, all our dollar-denominated debt. So that generates a loss this quarter compared with a gain last year that because it was an appreciation of the peso. So this is the most important part of the net financial results. In terms of the interest paid, we have a little decrease compared with the previous year. About the income tax, here, we are recognizing the deferred tax that is -- that we have to recognize every time that we have an appreciation of the fair value of the investment properties, we have to adjust the deferred tax by the 35% of what was the increase in the value. Last year, we have the opposite. Every time that you have a decrease on impairment in the investment properties, you recognize a gain in the income tax. So with those drivers, we finished the quarter with a ARS 163 billion gain compared with the loss last year of ARS 139.2 billion. The next page, when we see the numbers in dollar terms, this is the evolution of the rental EBITDA. We finished the quarter with $51 million. So if we multiply this by 4, it's not the way that we -- that it works, but that gives you an idea of where we will be for the fiscal year 2026. So finally, on Page 17, the evolution of our net debt. There was no news in terms of our debt. The only news is related to the dividend payment. So the net debt increased a little because of the distribution. Here, we included on a pro forma basis after the dividend distribution. So net debt today stands at $308 million, that is 1.6x EBITDA, less than 9% in LTV and more than 11x coverage ratio. So still very conservative our debt position, even after paying this dividend that we can see in the next page. So there was a distribution of ARS 173.8 million. That is roughly the blue chip swap today, $116 million with a dividend yield of 10%. We started the payment or we paid in the local market on November 4. And for our GDS holders will take some days. So probably we will have the record date established probably in the next, I would say, 5 to 7 days. So, with this, we finished the formal presentation. Now we open the line to receive your questions.
Santiago Donato: Well, now it's time for the Q&A session. If you have a question, please use the chat. We're going to take the questions in the order we receive them. Here we have the first questions. If the company is entering a period of higher investment, higher CapEx, why was it decided to distribute such a large dividend? Has something changed?
Matias Gaivironsky: Good question. Well, first of all, we are not changing the strategy. It's true that compared with the previous year, it's starting to accelerate the process of new investment acquisition development. So we, probably for the next year, we have a CapEx of around $75 million that we plan to spend. So this is without any new acquisition. But the company has a strong cash generation. Today, we are generating like $180 million or $190 million of cash. And our debt was too low. So the company will start to pay taxes this year again. We used to have a tax credit for many years. So now we will start to pay taxes again. And it's not the most efficient capital structure to have that low leverage. So for that reason, we had before the payment, a cash position very strong. So after paying this $120 million of dividends, we still have $180 million of cash. So we feel comfortable that with that $180 million plus the cash generation of every year, we have enough money to finance the projects. So we still feel very, very comfortable with the debt structure and the capital structure. If we need to finance new acquisitions, we will see the way to finance, but with the cash position that we have that give us a lot of room to keep doing things in Argentina.
Santiago Donato: Here, I have a second questions related to Ramblas del Plata. What are the medium-term time lines for the projects? When will the construction of the first buildings begin? When is the park's construction expected to be completed?
Jorge Cruces: Well, we have 3 stages in Ramblas. As I said before, part of the second stage is becoming like part of the first stage. The first stage is bigger than before. But then again, we do -- we still have 3 phases, and we're working on the first phase. That first phase of infrastructure we'll be finishing most of it for next year. That's when we have to give the plots to the developers who are going to be making those buildings, and they're going to be starting next year. And these phases also has to do with the parks. Every time we finish the phase, we're going to be finishing that part of the park also. So answering the question, we will be finishing Phase 1 next year, and that's when the first of the buildings are going to be beginning its construction.
Santiago Donato: Thank you. Here, I have another one related to the exercise of the warrants of Cresud and [ Alto ], here we are in IRSA, Matias can explain both. If we're going to update the ratios after the dividend, I think has to do with that.
Matias Gaivironsky: Its related to dividends, the question?
Santiago Donato: No, to warrants, but if we're going to --
Matias Gaivironsky: The cost of the dividend.
Santiago Donato: Yeah, I imagine we're going to --
Matias Gaivironsky: Okay. Yes. As you know, the warrants outstanding has a clause that every time that we pay dividends, we have to adjust the strike price and the ratio of that warrant. So yes, probably in the next days, we will announce the new ratios. The next window to exercise the warrant is next week, so before that.
Santiago Donato: 2017 to '25 of --
Matias Gaivironsky: Before that we will announce the ratios.
Santiago Donato: We give some more minutes if there is any additional questions, you can use the chat. Okay. With this, we can conclude the presentation and the Q&A. I will now turn the call to Matias Gaivironski for his closing remarks.
Matias Gaivironsky: Thank you, Santi. So, we are starting this year with a lot of optimism. The last quarter was a little volatile because of all the political environment and noise because of the elections. Now that it is much more clear the direction of Argentina, at least for the next years, so we see that with a lot of optimism. So we hope to see much more normal environment and much easier to take decisions for many, many companies in Argentina. So we see that with a lot of optimism. And about our plans, we will continue with all our development projects and Ramblas del Plata, the commercialization. So we are very optimistic about just -- to show more transactions in the coming months. And regarding consumption and the operation of our malls, we expect with more confidence from the people, our malls will keep receiving all the consumption and flow of people inside of our shopping malls. So with this, we finished the presentation. We hope to see you in the next quarter. Thank you very much. Have a nice day. Bye-bye.
Jorge Cruces: Bye-bye.